Operator: Welcome to Onex Fourth Quarter and Full Year 2023 Conference Call and Webcast. [Operator Instructions] As a reminder, today's program is being recorded. And now, I'd like to introduce your host for today's program, Jill Homenuk, Managing Director, Shareholder Relations and Communications at Onex. Please go ahead.
Jill Homenuk: Thank you. Good morning, everyone and thanks for joining us. We're broadcasting this call on our website. Hosting the call today are Bobby Le Blanc, Onex Chief Executive Officer; and Chris Govan, our Chief Financial Officer. Earlier this morning, we issued our fourth quarter and full year 2023 press release, MD&A and consolidated financial statements which are available on the Shareholders section of our website and have also been filed on SEDAR. A supplemental information package is also available on our website. As a reminder, all references to dollar amounts on this call are in U.S., unless otherwise stated. I must also point everyone to our webcast presentation for our usual disclaimer and cautionary factors relating to any forward-looking statements contained in today's presentation and remarks. With that, I'll now turn the call over to Bobby.
Bobby Le Blanc: Good morning, everyone. Onex delivered solid performance in 2023, driven by good investment results, positive deployment and realization activity and continued progress on our strategic initiatives. We capped off the year with a strong quarter of investing gains, as investing capital per share returned 4% in Q4 and 11% for the year. With the leadership transition came a renewed determination by our team to accelerate decision-making and streamline execution. This includes a commitment to more disciplined expense management and a focus on profitability across all business lines. We entered 2024 with a solid operational foundation, a strong balance sheet and a commitment to grow shareholder value. In private equity, we had a productive year as we focused on value creation within our operating companies and return of capital. Across PE, we deployed a total of $800 million in 2023 and realized a total of $1.7 billion for Onex and our limited partners. The expected completion of the ASM sale would return about another $850 million to Onex and our LPs. With the Onex Partners V investment in Morson Group and the pending Accredited transaction which we see in shareholder approval and is expected to close in Q2, we completed the initial investing period for OP5. Concurrently, we appointed Tawfiq Popatia and Nigel Wright, two of Onex's most trusted and respected leaders, as co-heads of Onex Partners. Their appointment allows me to focus more of my time on ensuring operational excellence and the execution of strategic initiatives. ONCAP had a very active year in 2023, completing investing for ONCAP IV and securing the first two investments in ONCAP V. The team also completed 11 add-on acquisitions for ONCAP operating companies and its realization of Hopkins Manufacturing delivered a gross MOIC of 5.1x in U.S. dollars. Both OP V and ONCAP IV delivered strong overall investment results last year. Fundraising for ONCAP V is proceeding well and we are making progress on a bridge fund for Onex Partners. We expect to have updates on both next quarter. Turning to credit; we raised over $2.8 billion of fee-generating AUM last year and earned a 24% return on Onex's investing capital within credit. We issued 7 new CLOs in 2023, 5 in the U.S. and 2 in Europe. CLOs continue to be a valuable part of our business and the team is delivering excellent performance. This is reflected in our top quartile rankings for both portfolio risk and diversity metrics. We are making good progress with our ability to begin marketing our liquid and private products within the Canadian high net worth market. We're optimistic that we'll see a slow rebuild of our FGAUM, starting later in Q2 within this channel as we ramp up our marketing efforts with our distribution partners. As I mentioned at Investor Day, enhancing our marketing and fundraising expertise is a top priority. We were pleased to welcome Peter Brown as Head of Client and Product Solutions. Peter is an experienced leader with substantial experience in fundraising and the management of distribution teams. His experience will be important as we begin to broaden our fundraising efforts and take a more innovative approach to developing client solutions in areas where we have a right to compete. As I look ahead, my conviction and my commitment to our shareholders is to ensure all businesses operate profitably and contribute to growth in enterprise value. This helped drive some of the decisions we made last year, particularly around more efficient expense management. We are already beginning to see the benefits of those decisions. I want to thank our shareholders again for your support of Onex. Last year was transformational for organization with several positive outcomes. We were pleased to begin to see that better reflected in our share price. However, it remains well below the intrinsic value of our business and our future potential. The team is working hard to deliver on our commitments and to drive long-term shareholder value. I'll now turn it over to Chris.
Chris Govan: Thanks, Bobby and good morning, everyone. We ended the fourth quarter with investing capital per share of $107.82, a return of 4% in the quarter and 11% for the year. In Canadian dollars, investing capital was over $142 per share, a return of 9% year-over-year, reflecting a strengthening of the Canadian dollar. Overall, investing capital has provided shareholders a compound annual return of 14% over the last 5 years. Onex repurchased just over 800,000 shares from the end of Q3 through mid-February. Total buybacks in 2023 amounted to 3.5 million shares, capturing about CAD 225 million of hard NAV for our continuing shareholders. As we've indicated before, share buybacks will remain part of our capital allocation plans when the shares trade at a wide discount. We ended the year with cash and near cash of $1.5 billion representing 17% of investing capital. That's an increase of approximately $400 million from year-end 2022 even after deploying about $350 million across our PE platforms and the share buybacks during the year. Looking forward, liquidity will remain strong with the pending sale of ASM and Onex Partners IV expected to provide net proceeds to Onex of about $275 million which will more than offset our share of OP V's recent investment in the Morson Group and the pending acquisition of Accredited. Onex received just over $1 billion from PE realizations and distributions in 2023. And with market conditions beginning to stabilize, we're optimistic the environment will support further realization activity this year. Looking at private equity, our PE portfolio delivered a solid fourth quarter with an overall return of 5% which brought the full year return to 12%. Onex's private equity returns continue to be less volatile than the public markets and have also been broad based from a well-diversified portfolio. Only two operating companies represent more than 5% of our investing capital and the top 10 represent less than 40%. Turning to credit investing. Performance remained strong across our credit strategies with a $67 million net gain or 8% return in Q4. Our results were supported by a very strong leverage loan market and amplified by the structural leverage employed in our CLOs. Overall, our credit investments had a very strong year with a return of 24% in 2023. Now let's turn to the asset management side of the business. Onex ended the quarter with $33.7 billion of fee-generating AUM, down 1% from both Q3 and the last year-end. In 2023, our teams raised $3.7 billion of new FGAUM, predominantly from 7 CLOs and the Ryan Continuation Fund but this was offset by client redemptions from liquid strategies related to the winding down of Gluskin Sheff. At the end of January, we have over CAD 4 billion of FGAUM with private wealth plans, substantially all of which is invested in closed and alternative asset products or in the case of liquid strategies, has been successfully transferred in kind and remains invested in our funds. With the client transition substantially complete, we see this as a relatively stable base from which to build. As Bobby mentioned, the team is making good progress preparing our platform to market more broadly to private wealth clients and we're optimistic that new inflows will begin ramping up during the year. The tough fundraising market for many of our products and the transition of our private wealth business in the past year, has unfortunately masked a very strong year for our structured credit platform. We raised just shy of $2.7 billion of new FGAUM in structured during 2023, over 35% more than planned. Those results have us entering 2024 with almost $16 billion of FGAUM and $65 million of run rate management fees. A very substantial portion of which relates to sticky and long-lived CLO AUM. And as much as we're grateful for the strong returns the CLO team delivered on our invested capital last year, the improvement in the CLO platform's capital efficiency since we changed leadership in 2020 has been tremendous. Onex has gone from holding over 85% of our CLO's equity to just over 50%. Put another way, FGAUM has grown over 50% in the 3-plus year period, while Onex's CLO equity exposure actually decreased by 25% or over $100 million. Our structured business is a bit of a hidden gem and as you know, its value is not at all reflected in our hard NAV. Turning to fee-related and distributable earnings. Fourth quarter total FRE was a loss of $2 million, with $3 million of positive contribution from the Asset Management platform. For the year, total FRE was a loss of $14 million with a positive contribution of $12 million from Asset Management. FRE in 2023 benefited from the restructuring and efficiency efforts that we undertook throughout the year and discussed at Investor Day. As I mentioned last quarter, we auctioned approximately $40 million of run rate cost savings last year and continue to closely manage expenses across the firm. We also enjoyed a timing benefit from a reduction in Gluskin Sheff costs that ran ahead of the reduction in revenues as we transitioned our distribution strategy. Looking ahead to 2024, while we will continue to see the benefit of our cost reduction initiatives play out, this will be more than offset by the full year impact of management fee reductions associated with the transition of our private wealth strategy and the end of OP V's [ph] commitment period. Although this means we expect full year FRE performance to decline in 2024, our fundraising plans should drive progress in run rate FRE over the course of the year. Credit run rate management fees were $115 million at year-end and reflect the new fee structure for our private wealth strategy which is now focused on third-party distribution. As we previously mentioned, a large portion of the decrease in these revenues is offset by the lower cost of the distribution strategy. And as we raise new private wealth FGAUM, we will leverage our existing cost base which means it should be quite accretive. Looking at distributable earnings. We generated DE of $139 million in Q4 and just shy of $800 million in 2023, driven by realizations and distributions from our private equity and credit platforms. We're really pleased with these results given the challenging realization environment in 2023. Finally, an update on Onex's carried interest opportunity. We ended the quarter with $281 million of unrealized carried interest, up $41 million from Q3. Most of this increase was driven by net gains within OP V. As a reminder, Onex has about $29 billion of private equity and credit AUM subject to carry. All in all, it was another good quarter and we continue to make progress towards the objectives we laid out at Investor Day. Sustained compounding of our investing capital while enhancing the profitability of our Asset Management platform, will generate meaningful value for shareholders. That concludes the prepared remarks. So, we'll be happy to take any questions.
Operator: [Operator Instructions] And our first question comes from the line of Geoffrey Kwan from RBC.
Geoffrey Kwan: My first question was, Chris, I think you mentioned last year wasn't a great year for monetization activity, although you were able to monetize some investments. But if we're heading into an environment where monetizations are more favorable or easy to do and you used, what I think is, the often, the typical hold period of private equity investments of, say, 4 to 6 years. When I look at your investment portfolio within Onex Partners, you have a fair number of companies that kind of fit within that time frame in terms of at least how long you've owned them. So if the monetizations do normalize, is it fair to say that there's a good number of investments that could be in a position to be monetized and will they actually be in a position given where your investment thesis was and where it's played out so far?
Bobby Le Blanc: Geoff, it's Bobby. Yes. Look, the M&A environment for PE has been slower over the last 18 months or so. Activity seems to be picking up now. Some of it based upon people thinking rates are stabilizing are going to begin to decrease a bit. I think it will be a little while before the pipeline gets full. Most of what the PE world has been doing lately is making sure they're trying to shore up balance sheets as rates have declined. And we do have a couple of things in the pipeline that I think will return capital in the near term. But I do think if -- I do think if rates stay where they are and the activity that I'm beginning to see begins to be the new norm, you should be able to see not only more return of capital but deployment of capital. Our pipeline is still somewhat muted relative to the norm just like our realizations are. But again, I think you'll see a couple of more in the near term. And if things stay like they are, we expect it to get better as the year goes on.
Geoffrey Kwan: Okay. And maybe more on a specific investment, looking at Convex. That was investment obviously, that was done at a very early stage, more atypical of when Onex typically makes the investment but make sense given your industry experience and obviously, the founders of the business. So my question would be, the fundamentals would have been seeing -- or the industry fundamentals seem to have been favorable for the business. Just trying to understand is whenever a monetization event happens for that business, given what's been going on, what I think may be going on with the company and the industry, could that monetization time line be a bit faster than usual? Or would it still take a bit kind of a normal given how early stage you made that investment?
Bobby Le Blanc: Yes. So look, we started Convex de novo, I guess, a little over 4 years ago. The company has clearly grown in to its expense base. We still have more operating leverage to come. But that business did $450 million of net income, net income, not EBITDA, Geoff, last year and I expect 2024 to have a meaningful improvement above that, absent some weird things happening in the [indiscernible]. So I think we've got, in that case, the timing of the market right. And importantly, legacy insurers that we all see in [indiscernible] and I all believe which are under reserved, we've been taking advantage of that through hard rate environment which helps the business like that if you get paid more incrementally each year for the same unit of risk. So just given the de novo state of that and where that business is right now, I would expect there to be multiple avenues of interest in that business over time, depending if that performance continues to go. That could be IPO, that could be strategic, that could be dividends being paid. It could be all kinds of different things but risk-adjusted because that business has no debt and its returns are north of 20% so far. And again, with the drag of the losses in the beginning, I'm pretty optimistic that, that's going to turn out to be a very good risk-adjusted return. Timing, unclear but I think there'll be multiple paths of liquidity.
Operator: And our next question comes from the line of Graham Ryding from TD Securities.
Graham Ryding: Maybe if I could just start, Chris, with your run rate management fees. I think you flagged $191 million in the slide deck. Is that like fully reflected now of the OP V fund transitioning to that invested phase? And like any notable sort of step-ups or declines from that level that we should be expecting here?
Chris Govan: Yes, it fully reflects the step down in fees at OP V. And so there's really nothing specific on the horizon that's going to change that run rate other than, obviously, expectations around fundraising in 2024. But otherwise, that run rate is a good number and it has all the noise associated with OP V and the Gluskin Sheff wind down out of it.
Graham Ryding: Okay. Understood. And it seemed to me that the ONCAP V committed fund, there was a reduction in that fee, 20 basis points from Q3 level. Is that accurate? Or am I misreading that?
Chris Govan: I'm not aware of that, Graham. I'll have to take a look at the disclosure and then get back to you but I'm not...
Bobby Le Blanc: I don't know anything that would -- I don't think that's accurate but we will get back to you. I don't think that's accurate.
Graham Ryding: Okay, that's fair. How about expenses on the private equity side? They seemed to move up a little bit quarter-over-quarter. Was there anything specific you would call out that's driving that? I just want to -- I thought after the restructuring there was sort of going to be a lower run rate on the expense of the private equity side.
Chris Govan: Yes. So what you're seeing is lower costs in the Onex Partners platform being offset by the final build-out of the Onex transportation platform and some growth at ONCAP. So there are savings in there at the Onex Partners platform but given changes in Onex transportation and ONCAP, it's sort of a wash.
Graham Ryding: Okay, got it. And then maybe, Bobby, just my last question, if I could. Could you just sort of help us frame your expectations here for fundraising in 2024 when you're looking both at your credit platform and your private equity, what are you sort of targeting or expecting?
Bobby Le Blanc: Yes. So I'll start on the credit side. Again, Chris alluded to it. Our ability to raise equity when we form a CLO and to sell equity accretively has gone really, really well over the last couple of years and it's -- it has made it a less capital-intensive business for them. So that fundraising is going well. ONCAP is making progress slower than we're all used to with them given their outstanding track record but they are making good progress. The bridge fund, as Chris mentioned, also making progress. We'll have an update for you -- a more formal update for you, hopefully, next quarter on that. Falcon is also slower than normal. Peter Brown, the new person that we hired to run our sales and distribution team, has told me that the average length of time in market is around 22, 23 months. We are certainly feeling that with some of our platforms, Falcon included. But again, Falcon's risk-adjusted returns and quartile performance leaves me scratching my head a little bit but that one, for sure, is going slower than we thought. I would expect OSCO, our structured credit fund, to have a second fund in market in the back half of the year. And like Ryan with RCVs which is another form of fundraising and fee extension, I wouldn't be surprised if you see another one coming out of the overall PE platform in the not-too-distant future.
Operator: This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Bobby Le Blanc for any further remarks.
Bobby Le Blanc: Thank you for taking the time for being with us today. I hope you all have a good weekend. And if you have any questions, we have to Jill, Chris or me and we'll be happy to meet with you or chat with you. Thanks a lot.
Operator: Thank you ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.